Jesper Hatletveit: Good morning, and welcome to the Fourth Quarter 2025 presentation for the Norwegian Group. My name is Jesper Hatletveit and I'm the VP of Investor Relations here at Norwegian. Today's presentation will be held by our CEO, Geir Karlsen; and our CFO, Hans-Joergen Wibstad. The presentation will be followed by Q&A from the audience and the web. Please go ahead, Geir.
Geir Karlsen: Thank you, Jesper. Good morning. Good morning to all of you following this also online. It is a beautiful morning in Oslo. It's the winter holiday coming up. I heard on the news on the way in here that 80,000 people is leaving Oslo today. And I know that quite a few of them are flying with Norwegian. So, it's a good day. Going to the highlights for the quarter and also a little bit on the full year of 2025. EBIT of NOK 21 million. That is an improvement from last year. We have seen passenger growth in both airlines in the quarter. And we are continuing to do well on what we call operational excellence, where we are seeing an improved regularity and punctuality for both airlines compared to the same quarter last year. On unit costs, as many of you know and remember, we have been guiding a flat CASK for 2025 as a whole, and that's also where we ended up. That means that the Q4 CASK is slightly up, but for the year, we are sticking to what we have been guiding over the last couple of quarters. 2025 as a whole, a very good year with an EBIT of NOK 3 billion in combination between the 2 airlines, EBIT of NOK 3.159 billion in Norwegian and NOK 585 million in Widerøe. That converts into an EBIT margin of 9.9%, which is historically strong for this company. We are continuing to grow our network. In 2026, we will fly close to 500 routes between the 2 airlines. We are continuing to be among the best airlines in Europe when it comes to punctuality and we have very few cancellations, thereby the regularity is absolutely top notch regardless of who you compare us to. I'm going to share a little bit of information on the NPS score where we're also doing fine. And we are, after all, the airline with most direct routes from the Nordics to Europe. We are continuing to do well on the corporate side of the market. I will share some details on that as well. Spenn is starting to show results, and we are looking very much forward to bringing the Reitan Retail group into Spenn during the next weeks and a few months. Also nice to have taken delivery of the first of 80 aircraft that we have on direct order with Boeing. We took delivery of the first one in October. That means that we have 79 remaining deliveries that will take place from now until 2031. This is aircraft that is brand new. They burn quite less fuel than the 737 NGs, 14% to 15%. And we are seeing a huge appetite from the leasing and financing community in order to finance these aircraft at terms that we look upon as very attractive. We are, as mentioned many times, planning to own a significant share of this fleet ourselves because it reduces the ownership cost for the years to come. Dividend is had news I can see this morning. We started to pay dividend, as you know, in 2025. The liquidity position at the end of the year, NOK 10 billion. The liquidity position today is higher. We ended the year with an equity ratio of 18.2%. And we also spent quite a lot of time in 2025 to work on the balance sheet. As you remember, we acquired 13 aircraft that were currently leased to Norwegian. And by that, we booked the profit, and we also are looking forward to having a recurring reduced ownership costs on these aircraft as long as we keep them. We also repaid the corporate debt in 2025, and we distributed our first dividend. For 2025 with a payout in 2026, we would like to pay NOK 0.8 per share in dividend. That converts into a payout ratio of 31%. And this is, of course, subject to an approval by the upcoming AGM taking place in May. I'm sure Hans-Joergen will share a little bit more on that. A little bit statistics, 6.2 million passengers in the quarter, 0.4% up year-on-year. Very happy to see the load factor especially in Norwegian, 86%, 2% up. And also, very happy to see the punctuality and regularity in both airlines, I would say, massively up compared to the same quarter last year. And this shows that the efforts that we are putting in place on this area is starting really to have an effect. So now it's all about making sure that we can continue this strong performance in the quarters to come. Very happy about that. This is a chart that we have been showing you for quite a few quarters. This shows the seasonality that we are exposed to in Norwegian. It also shows that we are adjusting capacity between the seasons. And we did actually in the fourth quarter of 2025, reduce the capacity with 3%. That is because we thought that we were then more aligned with the demand, with the market as we saw it. And I think we did quite well. We saw a load factor, as mentioned, coming up to 86%, and we also saw the yield coming up with 4%. This trend has also continued into January, where we have seen a load up 4% and with a significant higher unit revenue. So, all in all, we are happy with the last months, including January. I'll come back to the period in front of us. Also, for Widerøe, again, very happy with the operational performance, a very strong quarter, more than 1 million passengers, up 2%. I'm very happy to see that Widerøe in the fourth quarter is definitely contributing to the result for the fourth quarter, delivering an EBIT of NOK 124 million. Also worth mentioning that Widerøe had a great, fantastic 2025 with the best results ever. Looking forward to the left, 7 days rolling sales figures on passengers. As you can see on the red line, we are ahead of the curve compared to 2024. That said, you know that we have reduced the capacity in the first quarter compared to the first quarter last year. And then we are going to ramp up into the second quarter, increasing the capacity with 6%. So have that in mind when you're looking at the curves, but we are very happy with the New Year's sales campaign and the bookings are continuing to look promising into the rest of the low season and into the second quarter. Looking at the revenue on the right-hand side, this is travel from February to June. And as you can see there as well, we are ahead on the red curve there, we are ahead compared to the previous years. And if you look at March and April as one because of the Easter effect, we could say that during the next months in total, we are up both on load and on yield. And that looks very promising also heading into the last portion of the low season and into the spring and the summer season. So as per today, we have sold 250,000 tickets more than the same period last year. Yes, I know that we have a 6% capacity increase in Q2, but the load is up more than 6% heading into the second quarter. So, it's looking promising for the months to come and into high season. A little bit on the NPS score. As you can see, the NPS score has moved from 38.5 to 50.1 in 2025. NPS of 50 is a really strong factor. NPS is really a tool we use to measure loyalty, customer loyalty. And this shows that we have a strong, loyal and engaged customer base. We are spending a lot of time communicating with our customers. We know exactly what matters the most for our customers. On top of the list is punctuality, as I have mentioned, we are doing well in both airlines, I would say. Another one that is extremely important is our ability to help our customers when things go wrong. And unfortunately, sometimes things go wrong, and we have done massively improvements on that area as well during the last couple of years. Now it starts to have an effect on the NPS score. And of course, helpful staff, service-minded, friendly. We have a fantastic staff in Norwegian that applies both to our great colleagues flying in the air and as well as our colleagues on ground. Customer initiatives, obviously, punctuality, where we are doing great. And we have, as mentioned many, many times, very high regularity. We had close to 0 cancellations. On the rewards side, we are also performing well. Spenn is starting to show results. And I think you should anticipate that we will come with news on the rewards side during the next weeks and months that I think will be attractive to our dear customers. And as well on customer care, we are doing quite much better today than last year and the year before, and that is also starting to show results, not at least into the NPS. Corporate. Corporate is actually a little bit interesting because it shows, if you look at the Avinor figures, it shows that the corporate market is definitely not back compared to the pre-pandemic levels, 60% below still. And a little bit interesting as well is that 2025 is actually showing a reduction in corporate travels according to Avinor by 2%. However, if we look at the Norwegian figures, we are up in 2025, both on number of passengers and the revenue. That shows that we are continuing to take market share. The chart on the right-hand side shows that we are up 8% on revenue, and that includes both an increase in yield towards these passengers as well as an increase in number of passengers, so it includes both. When we are talking to the big corporates, more and more of these corporates are now saying that they are flying more than 50% of their travels with Norwegian. And they're also mentioning the importance of, as mentioned many times today, punctuality and regularity. We are also doing a bet in Sweden. The Swedish market is moving, I would say, in the right direction. Also happy to share that we signed a 4-year contract with Swedish government through Kammarkollegiet that started up in September 2025. And looking at the performance on that contract as per today, it looks promising. Initiatives ahead that we haven't taken out any effects of yet is the new -- the so-called new distribution platform that we are launching these days. This will also give us the ability to do interlining, proper interlining. And the first airline coming up is obviously Widerøe, but it gives us also the ability to interline with others if we should wish so. So hopefully, we can get live with that as soon as absolutely possible. So, the corporate market is showing progress. We are continuing to take market share, and this is a focus area for this -- for both airlines in the months and quarters ahead because we think it is an attractive part of the market. It's high yielding, and it can also take down the variations between the different seasons.
Hans-Joergen Wibstad: Thank you, Geir. Good morning, everyone. Nice to see you here and also the ones on the web. So, I will go through the financial results for the fourth quarter '25 in some more detail as well as addressing some of the full year results. As mentioned, revenues came in at NOK 8.5 billion for the quarter, which is up 4% compared with the same period last year and Widerøe contributing a nice NOK 2 billion to that number. What's driving that is really a robust traffic figures across the group. We're seeing that the unit revenue is up 6% year-over-year, both on the back of higher loads as well as higher yields and then also Widerøe having a good quarter. So, meaning that the quarterly operating result for the group ended at NOK 21 million plus, which is up from a negative figure last year. And with -- of course, as mentioned by Geir, Widerøe contributing very nicely and with Norwegian just marginally negative with NOK 91 million and then with Widerøe with NOK 124 million. Full year result, a great result for Norwegian earnings before tax of NOK 3.016 billion. Very happy to see that figure, EBIT margin of 9.9%. And then going back to Widerøe, a great result from Widerøe, significant improvement from last year. Last year, 2024, that is, was a good year, 2025, even better. And there actually bottom-line result is NOK 528 million before tax, so it's a good combination between the 2 airlines. Unit revenue, full year unit revenue as guided previously at NOK 0.5. Happy to see that figure. I think we've been quite predictable in our guidance. We've taken down the guidance through the year, and we're ending up exactly where we had hoped to be. I think it's good to see also that the cost control in the business during 2025 has been good. We have had very few surprises. And I think that really is encouraging for a strong organization to continue to deliver predictable cost levels. Needless to say, the unit or the CASK is impacted by the transactions on the aircraft where we purchased 13 aircraft during the year. And then we -- as a consequence of that, we reversed some of the maintenance reserves related to these leases. So that obviously impacts the CASK, but a good level and as guided. So happy to see that. I think very important for 2025 was the cleanup of the balance sheet. We're now coming out of the -- of 2025, we really have a balance sheet which is well-positioned for the activities ahead of us. We did repay the corporate debt, the legacy debt. We got rid of the convertible bond. We got cleared with what -- on the government ownership that held a portion of the convertible bond. So there now they sold out. We did the aircraft transactions, which is a very good use of the balance sheet, bringing down the cost as we move forward. We came into the year with owning 4 aircraft, now we own 17 aircraft, which is a really good -- on the way to -- on our ambition to own a much higher portion of the fleet. And finally, of course, that enabled us to pay a dividend last year, which we have worked very hard to do. So, and then with all these transactions, we're still coming out with a very robust balance sheet with a liquidity position of NOK 10.1 billion. That includes some short-term investment and also deposit for the outstanding bond. Equity ratio, a solid 18.2%. And then very happy to announce the NOK 0.8 dividend equal to a payout ratio of 31%. It's actually an increase of 33% from last year, a total of NOK 844 million. So happy to see that. And then we're sort of setting the stage for being a business that gives priority to dividend as we move forward, balancing the dividend amount with the investment requirements, so of course, very happy to have that and being our second dividend for the company. All right. So that's kind of the broader summary. Revenues. Obviously, we see from quarter-to-quarter last year coming from NOK 6.4 billion for Norwegian to NOK 6.6 billion, obviously driven by lower CASK, but we see the benefit of the lower capacity on the yields as well as the load factor coming up. Then just a small other factor, bringing the total revenue to NOK 6.6 billion, adding a very nice contribution from Widerøe and then ending up with a group revenue of NOK 8.5 billion. A little bit of a deep dive into the P&L. On the top line, we can clearly see operating revenues going up by 4%. We're seeing that the cost lines are as expected. We have the personnel cost expenses, which are up as expected due to the salary increases, both particularly among the flying crew. So, no unexpected events there. We see the aviation fuel at a pretty stable level. We have the benefit of the weaker U.S. dollar and also lower fuel price, but we also have additional costs relating to the ETS allowance -- reduced ETS allowance and increased SAF mandate. The increase in the airport and ATC charges as well known. We talked about that for several quarters. Up 16% compared with the same period last year, bringing us down to an EBIT of NOK 21 million that we just mentioned compared with minus NOK 93 million last year and then with a bottom line result of minus NOK 16 million versus minus NOK 233 million last year. So, a good improvement, of course, seasonally impacted by -- particularly on the Norwegian side with Widerøe being kind of the stabilizing factor, having a more stable quarterly variation. So overall, we're happy. It's a good fourth quarter for Norwegian. Looking at the full year, obviously, very happy to see the earnings before tax of NOK 3.016 billion, just about NOK 3 billion, nice improvement on operating revenues, 7%. Personnel expenses, we talked about that several times. Same on the aviation fuel, some headwind, some tailwind on that. And then the airport charges, as we've talked about so many times, coming up -- going up by 21%, so a good result. Obviously, aircraft lease depreciation and amortization, quite a bit down, impacted by these 13 aircraft purchases where we reversed previous maintenance reserves relating to the leases, having kind of obviously a very positive impact on the depreciation line. Then we have the EBIT of NOK 3.7 billion and the profit before tax of NOK 3.016 million, a significant improvement from 2024. Balance sheet. This is between the quarters, not a big difference between each of the quarters. Really, total assets is literally the same. We did take delivery of 2 aircrafts in the quarter, impacting tangible assets slightly. But otherwise, other than that, no big differences. Seasonally down on the cash balance. I'll come back to that in a minute, but in a very strong position. And as Geir mentioned earlier, since the end of the quarter, since the end of the year, it's seasonally up as we always expected. So we are in a good position. Final comment on the balance sheet. We're happy to see that the group on the aircraft -- air traffic settlement liabilities, it's up by 6%. That's kind of proof that our -- the sales is better than last year. And we're happy to see that number, and that matches very well with the load curve and the load figures that Geir just mentioned. And then with an equity ratio of 18.2%, pretty much the same as at the end of the previous quarter. Net interest-bearing debt, slightly up by NOK 1.1 billion, driven by a seasonal reduction in cash and also the aircraft financing related to the delivery of the 2 aircraft. So total control of net interest-bearing debt in a very good position. And we are, as a business, literally debt-free with the exception of the aircraft financing. There is a little bit of small debt in Widerøe. But with that exception, all these transactions that we actually undertook during 2025 has left Norwegian without corporate debt. And that's a really good position to be in as we move into 2026 and the years beyond, where we have a lot of deliveries and great financing deals ahead of us for the financing of the aircraft fleet growth. Again, going back to the dividend, happy to see that we can announce subject to AGM approval, of course, NOK 0.8 equal to a payout ratio of 31%, an increase of 33% compared with 2024 and kind of signaling a strong commitment from the Norwegian to shareholders that we would like to continue to have a dividend-friendly mindset on that. Having a responsible level of dividend as we move forward. Final comments on the cash. I think we talked through that a lot, not very big variations, largely driven by normal seasonal variations with the cash going from -- that is -- this is the cash excluding the short-term interest investments as well as the money placed on deposit for the retained claim bonds with the cash going from NOK 7.8 billion or NOK 7.9 billion to NOK 7.4 billion, reduction in prepayment seasonal. Good operational cash flow, normal level of investments and then also a normal level of financing activities in the quarter. It's also worth noting that we have prepaid to date NOK 3.6 billion of the order book that we have with Boeing, and we have very, very limited remaining prepayments before 2028 of less than NOK 0.5 billion. So overall, we are in a robust financial situation. And I think 2025, also from a balance sheet point of view and how we've been driving the debt levels down and getting rid of the corporate that has been a good outcome, enabling us also to pay dividend. Thank you.
Geir Karlsen: Okay. The way forward. To the left, you can see a beautiful picture from when we took delivery of the first of the 80 aircrafts in Seattle in October. We are very cost conscious. We're not planning to do deliveries as glossy as that on all the aircrafts. So, this is -- this was a special occasion. It's the first aircraft. And this aircraft also delivered with a new logo, the new Norwegian logo, which looks fantastic, I have to say. But on the aircraft side, these new 737 MAX 8s are burning less fuel, which is extremely important. It also delivers a better experience for the customers and for the employees in Norwegian with less noise. So, it's just a better product on many areas. We are also very comfortable on the fleet that we need for the upcoming summer. We are having one delivery prior to the summer, which we expect to happen within the next few weeks. And then we are all set on the fleet side for what looks like a good summer coming up. I like the optionality that we have also on the fleet side. As you can see on the chart, we still have quite a few 737 NGs. Most of them are leased. And looking at the growth for the coming years, building the fleet from 95 aircraft in the upcoming summer to 104, we have the flexibility of potentially extending the leased aircraft if we should wish so. And if the market allows, we could grow more aggressively. That's an optionality we like, and we like to play that in the next coming years. We have also done quite a few acquisitions during 2025 of the leased aircraft. And if opportunities comes up on similar basis, we are more than welcoming that and time will show whether that will materialize. But that is the fleet side. I'm also going to share a little bit more on Program X this time. In 2025, Program X delivered NOK 1.3 billion, NOK 900 million of that is what we call nonrecurring. The majority of that includes the profit that we booked on the acquisitions of the 13 aircraft. And the portion of that also is included in the NOK 400 million, which is recurring, and which will take down the ownership costs on these aircraft going forward. In 2026, we do expect to materialize NOK 600 million in effect from Program X. So, in total, in 2026, you will have NOK 1 billion recurring effects coming out of Program X. If you take that NOK 1 billion and look at the pie chart on the right-hand side there, that is how it divides. So, 22% is applicable to the fleet side, acquisitions of the aircraft. 32% is coming from the new distribution platform and the revenue opportunities that gives us. That also includes the interlining capabilities that, that will bring. And we will start interlining with Widerøe as soon as absolutely possible. Group synergies is synergies between the 2 airlines that includes facilities. It includes organizational synergies and not at least the procurement synergies that we are seeing on the basis of the fact that we are a bigger company with more power towards our vendors. Also on the cost control, it includes the huge areas in the airline. It includes the whole fuel value chain. It includes the ground ops operation that is quite significant. It also includes another big area, which is crew efficiency and how we utilize our crew. And it also includes, as mentioned, the whole value chain around fuel, not talking about the fuel price, but everything else related to fuel, including the handling of fuel, et cetera. We have, during the last quarters, been guiding more than NOK 1 billion in effect in what you call profitability improvement. We are increasing that to more than NOK 1.25 billion as per today, and then we will see during the next quarters how that delivers. So I would say that Program X is delivering in accordance to plan and happy to kind of increase the guiding slightly this time. Finally, outlook. On capacity, 3% up for the year as a whole. We are -- we have reduced capacity in the first quarter, but then we are going into a ramp-up period for the remaining 3 quarters in 2026. On unit costs, we are saying low single-digit percentage increase versus prior year. But have in mind, comparing to prior year, we are adjusting for the nonrecurring effect in CASK in 2025. So, the basis for the low single-digit increase is a CASK of NOK 0.52. We have been writing it at the bottom of the page. So have that in mind. All in all, 2025 was a good year. 2026 is also looking to be a quite good year for actually both airlines. Hopefully, we can beat 2025. That ends the presentation. Jesper?
Jesper Hatletveit: Thank you. Hans-Joergen as well, if you can come up. We'll then start with some questions. We'll start with the audience. Any questions here? We'll start with Hans Jørgen.
Hans Jørgen Elnæs: A few questions for me. Happy to note that you did the best year ever in '25. Congratulations for that. Also very happy to learn that the new distribution platform is now soon in place. That's something we have been waiting for quite some time. And that will open up for able to sell into Widerøe. Can you explain a bit about that? Does that only apply on your own booking engine? Or will it go on the GDS travel agent and so on use? And will this also open up for interlining that other airlines like long-haul airlines, Sai, Singapore Airlines, British Airways or Finnair that you can do agreement with them so you can fly passengers to their points in and out of Europe and how are your plans with that? Also, Wizz Air has recently tested what they call WIZZ Class, which is a kind of copy pass past of SIS, new Europe business class product where you block the middle seats. This was a success and Wizz Air this week informed that they will roll this out on all their routes in Europe. What is the Norwegian plans for this segment as you are so keen on improving your corporate and premium leisure sales? And then the last one is on Starlink. Starlink is Southwest just will fit Starlink on all the 810 aircraft. Norwegian has a Wi-Fi system today, which is aircraft ground based. Do you have any plans to migrate to Starlink because it seems like Starlink is going to be like a standard for the aviation, for the airlines going forward?
Geir Karlsen: Let's start with the first one. Yes, the new distribution platform is delayed. No doubt about that. But we are now currently, as we speak, running a so-called AB testing where 50% of our customers is going to the new platform and 50%, and then we will test the conversion. Hopefully, that shows good results, and then we can go live in all the 3, let's say, important markets, meaning Norway, Sweden and Denmark. That will give us the ability to do interlining with Widerøe. That means that we will also be able to sell Widerøe on Norwegian's platform. We think that that will definitely have an effect, so do Widerøe. When it comes to interlining with -- when it comes to kind of the SAS portion of that, what we are seeing is that the transfer passengers between Widerøe and Norwegian or Wider or SAS is developing in the right direction for us, meaning that passengers going to assess aircraft is going down, it's going up for us. And that is, I would say, as expected. We are not planning to go the risk direction by blocking the middle seat. As you saw today, we had in the fourth quarter, 86% load, which is very promising. That said, what you -- I think you could say that what you are seeing in the, let's call it, the ultra-low-cost market or low-cost market, if you include the U.S., is the fact that the low-cost carriers are actually moving towards the legacy players offering a more premium product, not all the way, but partly moving in that direction. And that is actually the position that we have today in Norwegian. So, we are very happy with the position that we are currently having, where we feel that we are -- where we think we are actually having a better product than the ultra-low-cost guys. So that is -- so we are very happy about that. What was the last one?
Hans Jørgen Elnæs: It was about Starlink.
Geir Karlsen: Starlink. Yes, we are seeing that a few players are making a lot of media attention on Starlink. I mean we are upgrading our Wi-Fi system on board our aircraft. As per today, Starlink is not even certified for a 737 MAX. And then we will see down the road how we -- what we decide to do. But right now, we are staying with what we have, but on an upgraded version.
Hans Jørgen Elnæs: And just one comment before we get the next one, you didn't answer my question on Norwegian's plans of interlining with other airlines outside the group. Is there anything in that we can see in the near future to happen?
Geir Karlsen: Yes. First of all, we would like to come into a position where we can actually do interlining, and we are now very close of being in that position. I've said earlier that we are in dialogue with a few of the airlines that are currently flying into Scandinavia. And then we'll see. It depends on a few things, not at least a commercial agreement and whether that makes sense for us. It brings complexity into our operation, and we need to get paid for that complexity. So that is the status.
Jesper Hatletveit: Move to the next question, Tomas?
Tomas Helgo: Tomas Helgo from Danske. On airport and ATC costs, now that some airports have put out their price increases for this year compared to last. How much of an increase can we expect this year compared to 2025? And then I have a follow-up question after that.
Geir Karlsen: This is a constant, I would say, dialogue that we have, first of all, here in Norway with Avinor. And they have had over the last couple of years, quite aggressive cost increases, fee increases. For 2026, it looked quite bad during the period. But how we ended up was in a much better place meaning it's a single-digit increases on the fees. It's, I have said many times that I think we need to be careful when we are looking at the cost level at, for example, Avinor and the fee increases they are bringing on to us and other airlines in a way that we have to be careful. So, we're not kind of pricing us out of the market. And the fact is that neither us or SAS, which is our main competitor is actually growing in Norway these days. And Avinor fees is a factor in that picture. And we are free to move aircraft where we want, and we have also been moving aircraft around in 2026 compared to 2025. So this is a constant. I'm calling it the dialogue. It's a tough dialogue.
Tomas Helgo: And then on the follow-up question regarding carbon quotes for prices, are actually regarding the need to acquire these quotes for 2026. Have you hedged a portion of that? Or is it, do you pay kind of spot prices when needed?
Geir Karlsen: The policy that we have is to stay current. So meaning that when you have been flying a month, you buy the quotes for that month and then by that, you are staying current. Right as we speak, we are more or less covered for 2025 because we have been expecting that the prices for those quotes to come down. And as we discussed with you this morning, what you have seen just during the last couple of weeks is that the price has come down from, let's say, mid-90s down to mid-70s. Why has that happened? Yes, because it is a speculation that that EU will postpone or even keep the free quotas, not for the airline industry but for other industries. And that's why you are seeing a selling off of these quotas over the last weeks. That is an opportunity for us. Should we take the benefit of that opportunity and buy more? Maybe. So I think both on that area also within -- on the currency side, we have seen, as many of you have seen, the dollar weakening. I think we have some -- there is some tailwind both on ETS and on the development of the strengthening of the Norwegian kroner weakening of the U.S. dollar, which at the moment is, has a positive impact for Norwegian.
Jesper Hatletveit: I then think we move on to some questions from the web. Start with Ole Martin Vasa from DNB Carnegie. Can you comment on the current competitive landscape? And adding to that, how do you see industry capacity growth in 2026? Is there a risk that the capacity growth represents potentially any negative yield impact?
Geir Karlsen: I think the short answer on that, Jesper, is that the competitive landscape is, I would say, relatively stable in the markets where we are flying.
Jesper Hatletveit: We move over to -- I think actually, we move over to a question from Andrew Lobbenberg there. Competitive pressure from SAS specifically, okay, growing quite a bit in Copenhagen. Do you see any pressure from that?
Geir Karlsen: I mean SAS is our main competitor, and it's a constant fight between the 2 airlines. And yes, they are moving. They are focusing very much on Copenhagen. So what we need to do in Copenhagen is just to make sure that we are treated fair in kind of as a main hub. But the fact that they are moving towards Copenhagen as a hub also gives Norwegian an opportunity. And that's why we are coming up with a slogan, Why Connect When You Can Fly Direct. And that is, it's a slogan but it's an opportunity, a big time.
Jesper Hatletveit: Another question from Andrew. The outlook for Widerøe and Widerøe margins into 2026 coming out of a strong 2025. How big of, call it, an impact or how big of a factor is the PSO subsidies to PSO Widerøe to this?
Geir Karlsen: Well, I mean the PSO routes is performing well also due to the fact that the ticket prices has been reduced by 50%. That continues into 2026. And then the opportunity that we have between the airlines is to make sure that the commercial part of Widerøe can be even better aligned with the Norwegian network going forward. So we can actually increase the performance from the commercial part of Widerøe. But looking into 2026, as mentioned here on Norwegian and the bookings and how the market is developing, it looks equally as promising for Widerøe in 2026 as 2025 turned out to deliver.
Jesper Hatletveit: Final question from Andrew. Outlook for cost of revenues given the current or the recent strengthening of the NOK.
Geir Karlsen: Yes. I think, obviously, we -- the fact, as I mentioned, the quite significant weakening of the U.S. dollar has a big impact on our cost base. We're hedged just above 20%, 25% at the moment at good levels. They've come further down. So, I think that is something which has to go into the spreadsheets of the analysts to factor in a, should we believe in a continued weaker dollar, which a lot of analysts believe and also the consensus is, that should impact our CASK and also our cost level positively during 2026.
Hans-Joergen Wibstad: And have in mind that 40%, 45% of our cost is in U.S. dollars and that converts into the fact that NOK 0.10 on the NOK is more than NOK 100 million on the bottom line. And it's not only obviously on the CASK, it's also the fuel CASK, including fuel.
Jesper Hatletveit: Then we move on to a question from Petter Nyström, ABG. Interest costs, it was a bit up in the fourth quarter. Is this a representative level for the coming quarters? And how is the interest cost impacted by new aircraft entering?
Geir Karlsen: I mean that is the answer to the question. We're adding aircraft, and that is really the reason for why interest costs are up. And so the net interest is coming, is developing not negatively, but as expected on the cost side. So it's really only the impact of the additional aircraft that is impacting that. There may be some also currency fluctuations, particularly in Widerøe on the net financial cost. But overall, it's purely impacted at the moment on the increase or changes in the aircraft fleet.
Jesper Hatletveit: That's the final question we have from the web. I'll ask again if there are any questions from the audience. There are none. So that means that we conclude the session. Thank you very much.
Geir Karlsen: Thank you.